Operator: Greetings and welcome to the ClearSign Combustion Corporation 2012 Fourth Quarter Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. (Operator Instructions). As a reminder, this conference is being recorded. This call will include forward-looking information and statements within the meaning of the Private Securities Litigation Reform Act of 1995 and the provisions of Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities Exchange Act of 1934, as amended. Except for historical information contained in this release, statements in this release may constitute forward-looking statements regarding our assumptions, projections, expectations, targets, intentions or beliefs about future events that are based on management’s belief, as well as assumptions made by, and information currently available to, management. While we believe that our expectations are based upon reasonable assumptions, there can be no assurances that our goals and strategies will be realized. Numerous factors, including risks and uncertainties, may affect our actual results and may cause results to differ materially from those expressed in forward-looking statements made by us on our behalf. Some of these factors include the acceptance of existing and future products, the impacts of competitive products and pricing, general business and economic conditions, and other factors detailed in our Annual Report on Form 10-K and the other periodic reports filed with the SEC. We specifically disclaim any obligations to update or revise any forward-looking statements whether as result of new information, future developments or otherwise. It is now my pleasure to introduce your host, Rick Rutkowski, Chief Executive Officer. Thank you, Mr. Rutkowski, you may begin.
Rick Rutkowski: Thank you, everyone, for joining us on a Friday after … on the East Coast and given that that’s the case, we’ll try to keep today’s call pithy and to the point. I apologize for any inconvenience by the scheduling. Our travel schedule’s been somewhat influx here and that’s the good news; that we’re staying very busy here. I’m going to ask Jim Harmon, our Chief Financial Officer, to take us through the financial results for 2012. Then, we’ll get in to discussing some of the very exciting milestones that we’ve achieved in the last year and more particularly some recent developments. I think more importantly, how that sets the stage for 2013 and 2014 as we look forward to what we think can be a very exciting and active time for the business. Thank you. Jim, why don’t you —?
Jim Harmon: Thank you, Rick. I’ll keep this brief because our results are simple and on plan, and the color really comes with the other aspects of this call. First off, just to emphasize to folks we are a development stage company, meaning that we’ve not recorded any revenue to date. At the point we do record revenue; we will remove from that mode and be a normal reporting company. Our bottom line for the year, which is mostly of course our operating expenses being research and development and SG&A costs, were $4.2 million for the year versus $3 million last year. RD costs were $1.2 million, which more than doubled from the 500,000 last year. Our selling, general, and administrative expenses were $3 million, which were up 20% from the $2.5 million recorded last year. Just to remind folks, we completed our IPO and substantial funding in April and with that came an increase in operational activities on our part to move our process forward. I’ll let Rick, of course, describe what those are in more detail. As I summarized, everything’s in line with what our plan was when we formulated in late 2011 in anticipation of our IPO, so we continue to be on plan. The last thing that I’ll quickly emphasize is a quick look at our balance sheet. Our working capital is about $7.6 million. Our stockholder’s equity is about $8.6 million. Within our working capital, we have $8 million as cash. With that, I’ll pass that back over to you.
Rick Rutkowski: Yes. Thanks. I think from the financial perspective, the thing that is, of course, pleasing to us at this stage of our development, is that we have been able to march along very much according to plan and in line with our budget estimates. I think part of that is that we’ve been running at … is well documented but there are some important highlights that I think illustrate a progression here, and it’s a rapid pace of progression. For those of you who are newer to the company, for example, you may not be familiar with the fact that when we went public in April of last year, our demonstration scale systems, our prototype systems, were very small systems generating heat release, or thermal output of about 100,000 btu/hr. We scaled that by a factor of ten and achieved that milestone to one million btu/hr. We achieved that milestone in September, a full quarter ahead of schedule. That’s important because that’s what we call a commercially referenceable scale. Within the industry, when we look at systems that are a million, five million, six million btus, it’s important that people can see that you can scale this to that industrial scale or near industrial scale. Indeed there are commercial systems even in the several 100,000 btu/hr, so that was a major milestone. Equally important, was that we were able to utilize the affects that we demonstrated at that scale to show that we could, in fact, use entirely new methods of reducing nitrogen oxide, and this is as compared to conventional burners, which stage the introduction of fuel and air and create a very complex arrangement of lean and rich fuel zones, which is equally complex to manage and comes with some penalties to energy efficiency. I think the important part of our demonstration was not just that we achieved out of the gate and our earliest experiments at this scale NOx numbers equivalent to commercially available Ultra-Low NOx burners, so beyond a Low NOx burner to an Ultra-Low NOx burner, but importantly, unlike those commercially available burners we’re able to eliminate any external recirculation of flue gas and to maintain oxygen or excess air at very low levels. Now that sounds like techno speak, I’ll translate it for you; those two ingredients are very important to maintaining energy efficiency in that system. Very often it’s the case that you can reduce NOx with conventional burner technology, but you do so at the expense of energy efficiently, and in some cases as much as 20% to 30% increase in the annual fuel consumption. Other highlights include our success in patents prosecution. We had a very aggressive goal that we set forth last year of having 100 patents filed by the end of the current quarter, first quarter of 2013. We’re very much on track to meet that goal and I think the current number is 85 patents filed. I have mentioned this before but, again, for some of those who are new to this; our strategy here involves typically bundling more than one invention in to an individual patent application, so this represents probably well in excess of 150 different inventions. I think this is an important metric for us because it’s an important aspect of our strategy, which is really all about partnering with companies in various segments of the combustion marketplace to bring what we think are going to be not only highly innovative but in many cases game-changing combustion solutions to this marketplace. Another key element that we reported very recently is the miniaturization and cost reduction of power supply. Our bill of materials when we install Electrodynamic Combustion Control in a system where we mount electrodes, which are shaped pieces of metals, we mount some ceramic fixturing and things of that nature and we cable that and run through a power supply, a pulse signal from a computer, so it’s a very affordable set of materials and leads to a very cost-effective solution at the end of the day. Historically, by far, the most expensive piece of our bill of materials has been the high voltage power supplies that we use, and indeed the ones that we have used in the laboratory to date have outputs in the order of 50,000 volts and costs on the order of $50,000. To put in perspective what we achieved recently, we can achieve the same kinds of outputs. I think the unit that we have currently is plus or minus 20 kilovolts or about 40,000 volts, but it’s in a package that is at least two orders of magnitude less expensive and substantially smaller. We’re going from something about four feet high and the size of a small refrigerator, say, to something that can be held in one hand. That’s a significant enabler. Obviously from a cost perspective that can enable both profitability for ourselves and our partners, as well as increase market penetration. Indeed, we have seen interest in some higher volume solutions including residential heating furnaces and are talking to some of the major players in that segment. There was a major step forward, and, I think as importantly, indicative of the approach that we are taking. To think about our technology development path, think of sort of two things in parallel. On the one hand, we are innovating, moving up the curve in surrounding our knowledge base with intellectual property, and in parallel with that very much trying to stay on course with a rapid path to commercialization, which includes the practical aspects of cost reduction and value engineering and things of that nature. It’s really nice to see at this stage of the game that we’re having these kinds of positive and encouraging results in that regard, and I think you’ll begin to see the fruit of that. We’ve also recently begun with a lot of the work that we’ve done, the things that I just described to you since the public offering, has involved work with natural gas, propane, and in some cases some solid fuels. We haven’t really done a lot of scale-up work from our earliest experiments with solid fuels. Now in our early experiments, we achieved very encouraging results with regard to particulate reduction and, by the way, this has become very topical. If you look up PM-2.5 or ultra-fine particulate on Google, you’ll probably see a number of recent articles talking about how the industry is faced with a new set of challenges in managing finer and finer particulate emissions. Indeed, that’s one of an array of regulatory pressures that is coming in to the marketplace and really creating for us a great environment to market in to because in many cases the existing technology is pushing up against some difficult constraints and tough limitations. You’ll see that theme sort of repeated throughout the kinds of things that we talk about, so we’re really looking forward because we’ve seen very encouraging results at a smaller scale with solid fuels. We’ve demonstrated some larger scale systems where we’ve emulated the flame type that you would see in a solid fuel combustor, and we’ve been very successful shaping those flames, so we’re encouraged and excited that we’re going to see some very positive things. One of the reasons that we brought this new furnace up, the continuous feed furnace up, is that frankly we were getting a lot of pull from folks in the solid fuel segment. Now, that’s a broad statement because it covers a lot of bases. When we talk about industrial solid fuels, think in terms of as far as product companies—Weyerhaeuser, Georgia-Pacific, Sierra Pacific; about 80% of the fuel energy that those companies use derives from opportunity fuels or wood waste that’s used in the curing and drying processes and treating processes and things of that nature. There are a number of other industries that are significant users of solid fuel at the industrial scale. Of course the granddaddy of solid fuels is coal, which is sort of in decline in the western world, not so in the rest the world; 12,000 new facilities scheduled to be built around the world in the next three years. China is facing significant air quality issues and now beginning to really address those from a regulatory perspective as well from their industrial scale use of solid fuels. Again, what we’re seeing is a pretty significant growth in commercial residential use of things like biomass and wood pellet boilers. That whole class is interesting, and we are talking with folks up and down that chain, so we have perspective partners and customers at the utility scale, at the industrial scale, and at the residential and commercial scale. There’s a significant overlap in the interest because solid fuels have some unique aspects to them as well that are going to ensure that folks who are interested in utility scale coal are also interested in the kind of experiments and demonstrations that we’re doing even at a smaller scale, because much of it is, in fact, referenceable. Most recently, we reported just a few days ago something that we believe is a significant technological breakthrough, and this is in addition to a significant body of intellectual property around electrodynamic affects that we’ve already created. We found that we could enable a new kind of burner that has two flame holders. Now to a non-combustion person that may not be meaningful, but what this allows us to do is to achieve something that has eluded the combustion design space for a number of years and that’s essentially the ability to combine a short flame with low emissions of nitrogen oxides. Now, historically, the reason there has been a trade off there is in the way in which Low NOx and Ultra-Low NOx burners are designed for this kind of use is often that the flame is stretched out and it becomes a lower momentum, or what we call a lazy flame. That introduces constraints immediately in terms of the firing capacity of the burner, so when you stretch that flame out, you essentially pay a penalty in terms of lost heating value in the furnace, and we think we can eliminate that trade up. You also will see artifacts with regard to flame pattern from those long flames coalescing and forming a fireball. We did this work in response to a customer requirement that was articulated to us and then reinforced by a couple of other customers and prospective partners that said, gee, if we can shrink the flame length on our existing burner by about 30%, and you don’t increase the NOx—because remember in the existing world usually shortening the flame now means that the NOx is going to go up—then that’s a really big deal for us, and we’d like to look at how we can scale that up and get it in front of customers in pretty short order. As it turns out, we were able to shorten flame length by about 80%, and indeed not only did we not increase the nitrogen oxide emissions, we have in fact reduced them. We haven’t reported formally on those numbers yet, but they’re very compelling numbers and we intend to report on them as soon as we compile more data. We’ve filed a host of patents and patent claims relating to what we believe is not just a design for a single type of burner but really a whole new architecture for designing these two tiered or what we call duplex burners where we can selectively move the flame from one level to the other. The significance of that—and I won’t go deep technically on that—but the significance of that is that when the flame is now at a greater distance from the nozzle, more flue gas, more gas can be entrained in that and mixed with that gas before its first point of ignition. That means that the oxygen is going to diffuse more rapidly through that flame, and that’s why you’re getting that shorter flame. You’re getting the NOx reduction because entraining that additional gas cools the flame, but instead of stretching the flame out to cool it, we increase the, what we call, the entrainment length. In other words, the distance between the nozzle and that ignition point on that upper tier or upper story of the burner. This is a powerful new idea, we have of course Joe Colannino, who’s been in the combustion industry for 30 years; and Roberto Ruiz, about the same level of experience, have never seen anything like this before. We’re excited that this thing has enormous potential. I want to then focus on our business development activities and that being really the point of all of this, right? Because the reason these technological milestones are so important is that they represent a progression towards commercialization of the technology, so they’re important to an outside observer. They’re important to our customers from that perspective, because they begin to see that this can be accomplished and that we can, in fact, overcome unknowns in technological risk going forward. Our pipeline is very robust at the moment. Our focus has really converged in three areas as what we classify as compelling launch opportunities. We’ve discussed in the past refinery heaters and indeed this work with the short flame burner is squarely aimed at that market segment. There’s significant interest there because if you can improve flame shape in these burners, you can impact process throughput and production and cash flow to the tune of tens of millions of dollars annually in a single refinery site. So a very compelling value proposition and a case where there’s again pent up demand. Ultra-Low NOx burners, broadly speaking, for a range of commercial and industrial applications including package boilers and process heaters of various types and commercial and industrial solid fuels, which we’ve touched on here, but again this includes everything from biomass to waste energy to coal and at a variety of different scales. I think for us what is very gratifying at the moment is that we are engaged in meaningful dialogue with dozens of companies, many of them very prominent recognizable global enterprises, certainly in the refinery category. All of the major oil companies, we’re in contact with as prospective end users and launch customers; and at this point, all of the key suppliers from a combustion perspective to that. We think we’re in a very nice position now and especially with this recent innovation to form the kinds of relationships that we want to bring the technology to market. I would say really the same is true in all three of these categories; we’ve got some what I would classify as marqui kinds of customers in each of these spaces. Now as you can imagine, when we’re dealing with a very large company, the process of defining and negotiating and documenting the potential of collaboration can be significant, but the rewards can be great. We have been at this for a while, so I do anticipate that in the next quarter or two, you will begin to see strong evidence of partnering activity. I would tell you that the likelihood is that some of the deals you’ll see announced will be with smaller companies before ones with bigger companies for the reason that I just mentioned. The process in a smaller organization can be more abbreviated and expedited more conveniently. In any case, all of these companies are well positioned in our market space, and we think we’re setting the stage nicely for significant contributions from commercial, as well as potential government-funded activities. In short, we’re very pleased with the level of activity, the quality of the perspective partners that we’ve engaged, the rapid progress of the technical milestones, the preemptive critical mass footprint that we’ve achieved in the intellectual property domain, and we’ve made some significant additions to our team. Dr. Roberto Ruiz, also formally of John Zink, has joined our team. Notably, Roberto was the General Manager in the Western Hemisphere for John Zink’s Refinery Business Unit, and so, as you would imagine, has very high quality relationships in the category and is indeed very well respected for his own technical ... and business acumen. With that, I think we do want to get to the Q&A. We do have Joe Colannino with us here for those of you who have more technical questions, and of course, Jim for folks with financial questions. We’re ready if we have any questions. I don’t imagine we’ll have a lot, because it is a Friday, and I think probably a lot of people are going to end up listening to the recording, but let’s turn it over to questions.
Operator: Thank you. We will now be conducting a question and answer session. (Operator Instructions) One moment please while we poll for questions. Our first question comes from Jim Mcllree with Dominick & Dominick. Please proceed with your question.
Jim Mcllree – Dominick & Dominick, LLC: Thank you and good afternoon, Rick.
Rick Rutkowski: Hello, Jim.
Jim Mcllree – Dominick & Dominick, LLC: I think I ask you this every time we meet, but can you help me understand what markets you think you’ll target first for—let me ask it a different way. What markets do you think are going to be the initial adopters that actually generate revenue for your—which are the first ones?
Rick Rutkowski: I think it’s the three that I just sort of touched on, which were refinery heaters and there are several different applications within the refinery, Ultra-Low NOx burners, which can be used in both package boilers and process heaters. A lot of that demand is being driven out of places like California, Southern California, and Houston, Texas who are facing some very tough new regulations in that regard; and frankly, people are at a bit of a loss for answers in this and facing some much more expensive possible solutions. Then, thirdly, the domain of solid fuels. I couldn’t tell you which of those will be first to market, but that depends to some degree on how aggressively our partners move forward and to some degree also on what kinds of results we see out of the gate here with our solid fuel efforts, but I think we’ve got motivated partners in each of those three categories. The other thing that’s sort of common there is if you recall we’ve talked in the past about five to six million btu/hr is kind of a sweet spot that is common to all of those segments. There are smaller burners in every one of those categories as well, but that’s kind of the range that we’re targeting in terms of our scale of efforts, and it matches nicely with those. In a refinery, you might see a crude heater that has an array of ten or even dozens of burners in them, vertical cylindrical heaters, and the same with steam methane reformers. These tend to be arrays of “smaller burners;” these are still large burners at five to six million btu/hr, but those three categories are the ones that at the moment really logically make sense to us as an early market entry point.
Jim Mcllree – Dominick & Dominick, LLC: When do you think that it’s likely that you would commercialize this for one of those markets?
Rick Rutkowski: I think we’ll see our first commercial installations in a 12/18-month time period, maybe 24 months on the outside. We’re kind of, as we’ve said, marching to the plan that we articulated last year when we called that about a 24- to 30-month process going back to the second quarter of last year. I think we’re on track for that kind of timeline. What we’re talking about there, of course, is really the first commercial installations, which is a very, very significant milestone for us. As I’ve said, I think we’re very much on track to meeting that objective. This duplex burner, one of the things that’s exciting to us about it is that this looks like—based on what we know and have learned about the scale parameters and scaling constraints for the technology, this looks very, very scalable to us and so that’s encouraging in that regard.
Jim Mcllree – Dominick and Dominick, LLC: Great. Thank you a lot.
Rick Rutkowski: Yes. Thank you and have a great weekend.
Operator: Our next question comes from Ankur Desai with MDB. Please proceed with your question.
Ankur Desai – MDB Capital Group, LLC: Thank you for taking my question. Congratulations on a great year. I wanted to ask you about—I know that you mentioned earlier benefits to the refinery space and the tens of millions of dollars in that kind of range. That would be very compelling and I kind of wanted to push back on that a little bit. How did you come up with those numbers and what did you do to sort of make those estimates?
Rick Rutkowski: Thank you for asking us that. At the risk of again repeating for folks who are more familiar, this is a platform technology. One of the key challenges you have, and it’s sort of a high class problem in ways, it’s a target rich environment. Combustion covers two-thirds of the world’s energy; it’s used throughout industry for process heating of all kinds. It becomes a question of how do you select the opportunities and compare where the best ones are. In that context, we perform a very rigorous, what we call, use case analysis. Now focusing it back to your question, so with respect to refineries, and the same would be true with package boilers or industrial scale combustion of solid fuels; we do a very detailed analysis that basically allows us to connect the dots between flame shape, process throughput, and energy efficiency. We cast those assumptions through our dialogue with partners and end user customers, and frankly, we’ve also brought in third party subject matter experts to validate that. We’re very close; I think a matter of days to a week or so, to publishing the refinery use case in some detail. We can give you a peek at it ahead of time, as there’s nothing proprietary about it, it’s just an analysis. Essentially, the way it works is if you have these—let’s say take the crude heater as an example, it’s a vertical cylindrical heater heated from an array of burners underneath and if you now lose control of the flame pattern or you have this elongated flame, what that means is that you now can put literally less heat in to the finite volume that you have, right? So you’ve got a heater and it’s rated for a certain thermal output, but now when you stretch this flame out, you can’t get as much thermal output in to the heater anymore and that translates directly in to you just can’t heat as much crude oil anymore. I go back to sort of one of our earlier interactions with the folks in the refinery space was the lead combustion engineer at Valero who told us that this can cost them as much as 30% throughput in a process heater. Now we, in our analysis, made much more conservative assumptions, we consulted with one of the fire heater specialists, former Marathon Oil guy, as well as several other folks we know. Again, we’re in dialogue with the likes of Shell, Exxon Mobil, BP, Chevron; so we’re not sort of creating these ROI numbers in a vacuum and of course we’ve always found it’s better to under promise and over perform and stay well within the realm of what people would view as credibility in terms of these assertions. We’ll tend to assume say a 3% to 7% improvement in heat transfer efficiency and uniformity, and that alone in a crude heater can correlate to something like $12 million to $24 million annually. Then, there’s another one to two tacked on to that in that same application for energy efficiency. Obviously, those numbers relate in some way to scale; the assumption is that that’s 100,000 barrel-a-day refinery, which is about the average scale. There are bigger ones, there are smaller ones; but the sweet spot is about 100,000 barrels a day. Again, the crude heater is just one place in the refinery. You’ve got the steam methane reformer, the ethylene cracking furnace, similar kinds of use cases. If you really dig in to this, and start to research process heating and so on, you’ll see that in certainly the refinery space and the petrochemical space, these are giant heat thermal plants. I mean the entire thing is designed around how you drive these chemical processes through heat distribution, and uniform heat distribution is very key to these kinds of processes. As I said, we’ll be able to share with you in short order here, you know sort of a very detailed analysis that connects those dots, but that’s sort of the short version of it. The other thing we’ve tried to do is make this pretty graphical, so I think you’ll see coming up on our website this afternoon videos of the duplex burner and you’ll get to see how that flame shrinks. Then, we’ve also had an artist put together a series of drawings that shows you literally what we mean by a poor flame shape and the different kinds of artifacts that you can get from these long lazy flames, and you’ll be able to look at that next to what a good collected short flame should look like. It’s a bit complex, but as I said, we’ve tested these assumptions and we can connect the dots all the way from flame shape to millions of dollars annually in increased cash flow, and again, we’ve tested those with folks in the space who are expert in those kinds of metrics.
Ankur Desai – MDB Capital Group, LLC: What’s been the response from the refineries or the suppliers or whatever when you ... this analysis with them? I assume that’s part of what you’re talking about in your initial conversations with them.
Rick Rutkowski: Sure. No, it’s been very encouraging and very supportive, and in fact, we don’t go in the door saying, “Oh, we have all the answers. We’ve concluded that these are the answers.” We go in the door saying, “These are the assumptions. We have validated these assumptions with a few other companies, but we’d like your feedback.” When you see the assumptions and hear the assumptions that I just gave you, that’s really the result of that kind of interaction. We’re inviting them to come back and push back on the numbers or give us a different spin on it. Indeed, we’ve had some of that. For example, in conversations with one of those major oil producers, they were very excited by the things we were talking to them about, but they also said, “Gee, the thing that’s really exciting to us is this whole flame stability thing means that we might be able to hit a very key goal for us of 1% oxygen in a stack.” Now, that’s an extremely important metric to that particular company. The Valero case that I mentioned, we were initially in conversation with them about the use case for steam methane reformers and he turned the conversation to say, “Gee, these crude heaters, I have a very bad problem with flame pattern.” So we ask them to quantify it for us, so we feel that we’ve made a significant effort to not only be objective about this, but to collect inputs from multiple sources, and again, not to present these are conclusory, but to invite response from prospective customers. The response has been supportive and enthusiastic and encouraging and there’s a great deal of excitement. As I said, we’ve got virtually every one of the major suppliers now in dialogue with us and several of the very, very large end user customers to whom this can make a significant difference in our operations.
Ankur Desai – MDB Capital Group, LLC: Is there a potential revenue model from kind of sharing in the cost … with these guys or is that sort of not the way the ...?
Rick Rutkowski: It’s a great question, and the answer is yes and no. By and large, the combustion and emissions control industry work according to the rules of capital equipment purchases, right? We’d like an ROI. We have a ... for it. With an important exception, there really isn’t typically an economic ROI associated with emissions control. You put them in because you have to, and then you do the best you can to control the cost of the equipment. Indeed, that’s part of the dialogue between the regulators and industries. Is there an “affordable solution” out there? So they tend to be capital equipment purchases with the difference being that unlike conventional capital equipment, which you buy for productivity reasons and therefore has a positive economic ROI associated with it; historically, emissions control equipment has not. That’s part of the power of what we’re suggesting here is that now you can begin to connect a positive economic ROI with emissions control. In Ultra-Low NOx burners, that’s really the point I’m making when we talk about the fact that we can eliminate external flue gas recirculation and minimize excess air. Those also translate in to significant dollar savings in energy efficiency, and again, we’ve really worked hard to quantify those with some kind of precision in that regard. To answer your question about the model, there is precedent for companies being able to participate in some of that savings, and one of the companies that we’re in dialogue with is one of the companies who set that precedent, so things can be priced that way. Obviously, it’s our goal to value price our technology in any case, but we do think there is within some certain segments at least there will be an opportunity to have a recurring revenue stream associated with the technology in that regard.
Ankur Desai – MDB Capital Group, LLC: Okay. Thank you very much.
Rick Rutkowski: Thank you, Ankur.
Operator: (Operator Instructions) We have no further questions in queue at this time. I would like to turn the call back over to management for closing comments.
Rick Rutkowski: Well, again, thank you, everyone, for bearing with us on a Friday afternoon here. I want to encourage any and all of you to certainly go to our website. There’s a lot of great information there. We’re adding additional information including the video that I mentioned and the use case analysis will be appearing there in short order. We appreciate and understand this is a complex subject matter, so we try to make sure that that’s a resource and a tool to you. On the other hand, we also know that doesn’t answer and can’t answer all of your questions about either the technology or the company. Two things; one of which is that we always invite people to come and visit us here in Seattle because we’re two and a half miles from the airport and there really is no substitute if you want to be excited about ClearSign for coming to the company. Because it’s not just an exciting technology, you’ll meet a team that is capable and engaged and you’ll just feel a really great energy when you come here. Also short of that, please don’t hesitative to give us a call. We’re an early-stage company and you mean a lot to us as shareholders and backers of our efforts here. We understand that there are a lot of questions along the way, and we’re going to do our best to make sure that you have good answers to those questions when you need them. Don’t hesitate to reach out and we’ll try to do the same with you guys. Stay tuned, there’s more to come in the news pipeline as we progress forward. Again, I thank you for your time on a Friday afternoon and evening. I hope all of you have a wonderful weekend, and we’ll look forward, I hope, to seeing many of you in Seattle. Some folks have come up and I think it’s proven to be a gratifying experience for them as well. Thank you, again.
Operator: This concludes today’s teleconference. You may disconnect you lines at this time, and thank you for your participation.